Operator: Greetings and welcome to Bioanalytical Systems, Inc.’s First Quarter Fiscal 2021 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I would now like to turn the conference over to your host, Kalle Ahl of The Equity Group. Thank you. You may begin.
Kalle Ahl: Thank you, Devin, and good afternoon, everyone. Bioanalytical Systems, Inc.’s first quarter fiscal 2021 financial results were released today after the market closed. A copy of the earnings release can be found in the Investors section of the Company's website at www.inotivco.com. As a matter of formality, I need to remind you that some of the statements that management will make on this call are considered forward-looking statements, including statements about the Company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date, you should not place undue reliance on these forward-looking statements, and the Company does not undertake any obligation to update or revise forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the Company's SEC filings for further guidance on this matter. Management will also discuss certain non-GAAP financial managers in an effort to provide additional information for investors. A definition of these non-GAAP measures and reconciliation to the most comparable GAAP measures is included in the Company's financial results press release and corresponding Form 8-K. Joining us from Company this afternoon are Bob Leasure, President and Chief Executive Officer; Beth Taylor, Chief Financial Officer; and John Sagartz, Chief Strategy Officer. Bob will begin with some opening remarks after which Beth will present you summary of the Company's financial results. Then, we'll open the call for questions. Now, it's my pleasure to turn the call over to Bob.
Bob Leasure: Thank you, Kalle, and good afternoon, everyone. And thank you for taking time out of your day to listen to our story. Since this is our management team's first earnings conference call, I would like to spend a few minutes discussing where the Company has come from, where we stand today and where we are headed. We were founded in 1974, Bioanalytical Systems, Inc., originally focused on manufacturing and marketing analytical products such as liquid chromatography and wet chemical systems for universities and pharmaceutical companies. By the time the Company's IPO in November of 1997 contract research services had becoming an increasingly important part of the revenue mix, representing approximately a third of the total revenue with the remainder coming from products. The Company's contract research services continued to expand in the following two decades, reflecting strong core competencies and bio-analysis, pharmaceutical testing, and toxicology, and consistent sustained revenue growth and profitability, however, remained elusive throughout the years.  After a period of management changes, asset write-offs, decline in product sales, uneven service growth and intermittent profitability, Bioanalytical Systems faced liquidity constraints and default under security arrangements in the second half of 2016. At that juncture, I was hired as a management consultant to evaluate the situation, its alternatives and help change the course and direction of the business. That time, we put in action a strategic turnaround plan to remedy what I considered to be a underachieving contract research organization with significant potential. Our immediate efforts involved reducing cost, managing cash flow, securing a new credit arrangement, which we accomplished with the new lending partner during 2017. So, in this regard, I'd like to say, we were founded in 1974 and reinvented in 2017. Having successfully made it through the early phases of the restructuring, we shifted our attention to investing for future growth and creating, what I call, a contemporary organization. In the category of investing for future growth, we thoughtfully evaluated strategic acquisition opportunities to build a more complete comprehensive solution set for our clients and greater scalability for our organization. At that time, we had operations in West Lafayette and Evansville, Indiana. The acquisition of Missouri-based Seventh Wave Laboratories in July 2018 was one of the first important building blocks, bringing us complementary expertise in histopathology, pharmacokinetics, investigative toxicology and pharmacology model development. Importantly, we gained impressive talent from Seventh Wave, including our current Chief Strategy Officer, John Sagartz, who's on the call with us today. The acquisition of the toxicology service business unit of Gaithersburg, Maryland based Smithers Avanza in May of 2019 brought us additional capacity, capabilities and a scientific depth in general toxicology, vaccine safety and development and reproductive toxicology studies. Finally, our latest acquisition, a Fort Collins, Colorado based Pre-Clinical Research Services in December of 2019, expanded our toxicology business and surgical services for pharmaceutical and medical device clients. Together these three combinations increased our capacity, broadened our services, enhanced our talent, enabled us to serve additional clients and improved our scalability. We believe that we have not simply integrated these acquisitions, but we've also improved operations in order to achieve subsequent organic growth at each. During the same timeframe, we also made internal investments for future growth, highlighted by the completion in March of 2020 of a new building expansion improvement project at our GLP toxicology facility near Evansville, Indiana. We estimate that this project alone added approximately $6 million in annual revenue capacity. Furthermore, we upgraded our accounting systems, implemented an ERP software platform and invested in new technology, automation and equipment that can support a much larger organization. We made approximately $15 million of such growth related capital expenditures between fiscal 2017 and fiscal 2020 and expect to reap a return of those investments going forward. But perhaps more importantly, we made investments to upgrade our leadership team and employee base. For example, 10 of the top 11 members of our senior leadership team joined the Company within the last four years. We've also improved areas that were previously not prioritized, such as our client experience team, marketing group, human resources department. We are not only focused on employee talent, but also on the employee culture -- cultural fit, as we build the Company into a contemporary organization and our new brand name Inotiv, which we built for CRO business in November of 2019. At our annual shareholder meeting this March, we will be requesting shareholder approval to adopt Inotiv, Inc. as our formal corporate legal name. Beyond the new name, logo, color schemes, taglines, which unify all of our businesses under one umbrella, we're establishing a new culture of mission and vision. First and foremost, we are client service oriented organization and encourage a culture of respect, open communication, collaboration, and excellence in everything we do. Rather than trying to avoid the loss, we have played to win. We are getting employee buy in, as evidenced by a significantly lower voluntary turnover. And we are hiring new personnel that have customer service in their DNA. With the business transformation and important growth investments of the last few years behind us, we believe that we have emerged as a best-in-class contract research organization with a scalable growth platform and unparalleled dedication to personalized customer service. Today, our contract research services segment represents approximately 95% of our total revenue in contrast to the Company's product orientation when we were founded in 1974. We have top notch GLP, GMP GCP and BE compliant contract laboratories at our five locations, which we refer to as centers of excellence across the drug discovery and development continuum. We provide a full spectrum of services ranging from small to large molecule therapies and medical devices. We have been off the Street’s radar for a while. But starting with this conference call, we intend to communicate and engage more proactively with investors and analysts in the quarters and years to come. As a relatively small publicly traded CRO, participating in a faster growing client segments, such as small biotech, single molecule drug development, individualized medicine, gene and cell therapy, we have an exciting long-term growth opportunity. We help clients reduce the time and cost to bring drugs to market through outsource, discovery and development services, which otherwise would require significant client overhead. We strive to outperform our larger and smaller CRO peers with service flexibility, innovation, and attention to details, creating a unique opportunity for us to grow in this space. We believe we are growing faster than the global industry average, which Frost & Sullivan paid 8% per year. And we have diversified customer mix without any single client contributing more than 8% of our revenue. Our strategy for future growth involves much of what we've been doing the last few years, focus on flexible superior customer service to our clients, pursue selective strategic acquisitions that dovetail well with our current assets and suite of services, integrate our acquisitions and then add services people equipment and capacity to drive subsequent organic growth, continue to invest in internal growth initiatives and capacity, drive ongoing operational efficiencies, scale our business to realize operating leverage in order to drive improved profitability and cash flow. We believe that first quarter fiscal 2021 financial results we reported this afternoon demonstrate that our strategy's working and that we can extract operating leverage as revenue grows. On a year-over-year basis this quarter, our revenue grew 38.5% to $17.9 million, gross profit increased 69% to $5.9 million, margins expanded, operating income turned positive, and we achieved $1.3 million of adjusted EBITDA and $1.7 million of cash flow from operations. We believe that our organization’s unification under the Inotiv brand name, along with our client service oriented culture is underpinning our performance. Furthermore, our quarter-end backlog and first quarter book-to-bill ratio remained $45.3 million and 1.16, respectively, despite the quarter’s strong revenue growth. While we accomplished much since I joined the Company four years ago as a management consultant and then as a CEO in 2019, I believe the best is yet to come. Now, I will turn the call over to Beth Taylor, our Chief Financial Officer, to recap our fiscal 2021 first quarter financial results in some more detail. Beth, please go ahead.
Beth Taylor: Thanks, Bob, and good afternoon. In the first quarter of fiscal 2021, our revenue increased 38.5% to $17.9 million from $12.9 million in the comparable prior year period. The majority of the increase in revenue was due to internal service revenue growth, augmented by approximately $1.5 million of incremental revenue from our operations in Fort Collins, Colorado, which we acquired in December of 2019. Our revenue growth during the first quarter of fiscal 2021 was 13%, compared to the fourth quarter of fiscal 2020. Service segment revenue in the first quarter of fiscal 2021 increased 40.3% to $17 million from $12.1 million in the comparable prior year period. Service gross margin increased to 31.9% in the first quarter of fiscal 2021 from 26.6% in the comparable prior year period, reflecting operating leverage and the greater utilization of recently expanded capacity. Product segment revenue increased 9.9% to $853,000 in the first quarter of fiscal 2021, from $776,000 in the comparable prior year period, reflecting an increase in Culex in-vivo sampling systems and analytical instruments partially offset by a decrease in other instruments. Product gross margin increased to 51.8% in the first quarter of fiscal 2021 from 31.7% in the comparable prior year period, driven by expense reductions implemented in the last half of fiscal year 2020 and improved margins on existing sales. Operating income in the first quarter of fiscal 2020 turned positive at $14,000 compared to an operating loss of approximately $1 million in the prior year period, reflecting higher gross profit and lower operating expenses as a percent of revenue. Net loss in the first quarter of fiscal 2021 totaled $366,000 or a negative $0.03 per diluted share, an improvement of $1.1 million compared to a net loss of $1.4 million, or negative $0.13 per diluted share in the comparable prior year period. Adjusted EBITDA increased 169.4% to $1.3 million in the first quarter of fiscal 2021, from $481,000 in the comparable prior year period. The book-to-bill ratio for the first quarter of fiscal 2021 was 1.16 times. We continued to build our infrastructure for growth, which included additional headcount and investments in research and development, technology and systems. Our backlog, at the end of the first quarter of fiscal 2021 was $45.3 million, up from $35.7 million on December 31, 2019, and up from $43.8 million on September 30, 2020. Now, let's turn to the cash flow statement and balance sheet. Cash flow from operations totaled $1.7 million, which reflects the add back of depreciation and amortization of $1.1 million and increase in customer advances of $2.2 million partially offset by a decrease in accrued expenses of $1.1 million. CapEx for the first quarter of fiscal 2021 totaled $1.5 million, and we expect the level of capital investment to be similar in fiscal 2021 to the two prior fiscal years, not including any major facility expansion. Our balance sheet at December 31, 2020 included cash and cash equivalents of $1.2 million and long-term debt of $17.2 million. Total debt was $27.1 million, which included a $5.1 million balance of our PPP loan. We believe that benefit of the PPP loan has allowed us to continue to retain our employees and safely maintain business operations through recent periods. We have submitted our application for forgiveness of $4.9 million of the loan to the FDA for their review. Overall, we are pleased with the direction of our business and we feel confident in continuing to invest in our future. This concludes our prepared remarks. And with that, Devin, please open the call for questions.
Operator: [Operator Instructions] Our first question comes from line of Kyle Budd [ph] [indiscernible] Securities. Please proceed with your question.
Unidentified Analyst: Hi, everyone. Thank you for all the updates and excellent results here. Maybe my first one, in our channel checks, we found very overwhelming support for Inotiv's white-glove service, as a result of your 2017 reinvention that you highlighted in your prepared remarks. What are some of the ways you've been able to deliver this high-quality client experience, just some of the changes that you made?
Bob Leasure: Hi, Kyle. This is Bob. First, I guess, when I went out to the conferences and was told what would make a difference to our clients and our consultants, one of the first things that I was told is, if your scientist would return a phone call timely that we would separate ourselves. So first and foremost, we want to make sure that we're timely returning phone calls. And second of all, we want them to provide a very high touch service. So, we want not -- rather than taking orders, we want to be very consulted in our nature, so our scientists and study directors, pathologists can be very involved in the study and offering advice early on in the client relationship. I think we've done a good job of bringing in some very experienced people that have some drug discovery and development experience. And that has helped us quite a bit. I think -- and finally, we have taken time to really focus on project management and making sure that we can follow up with that client where their project is, and if it's a multi-site project, make sure that we're following up, they don't have to chase it, but we can proactively tell them how their project is going and where it stands. So, it's something we work on every day. It's something we're going to continue to work on. We're developing systems and we’re recruiting for it constantly. And it's something we're going to remain vigilant about.
Unidentified Analyst: I appreciate that. And I think, business development team members, that's kind of a new thing over the past three years. How many are there in that role? And do you anticipate adding to the Add count here?
Bob Leasure: Good question. Right now and strictly as in terms of business development people, we have five, what we call business development people. But they're supported by a strong client service team, by about a dozen people that supports them. And then, a lot of scientists that are involved with the business development also and very engaged with the clients. So, it's just not five business development people by themselves. We're just looking at how we can make those five people more efficient. So, with analysts’ support or with additional resources from sales and marketing, we have some people in sales and marketing groups that have been very supportive of identifying additional clients. And then, we're also looking at potentially supporting them with some additional specialty service support and experts in this field. So, right now, we have five. We're looking daily to make them more efficient. And then, we'll probably look to potentially add also.
Unidentified Analyst: Got it. And saw nice pickup in the financials. I think, the EBITDA margin is approaching 10%. But, I’m just kind of curious, what's kind of the long-term goal here for EBITDA margins? I think that comp group is for more established CROs, maybe closer to 20%. But just trying to get a sense of how you're thinking about that.
Bob Leasure: Good question, Kyle. We've really never talked about that before. But, I will tell you that I view the best-in-class range is 19% to 21%, is what EBITDA should be achieved. We as a company are not going to back away from the goal of being best-in-class. I think there's a path to 19% to 21%, not with our -- not with how we stand today but the path we're going and that -- being best-in-classes is what we're going to be about. And so, that goal will remain there.
Unidentified Analyst: Great. And one more, if I may. You started providing the book-to-bill ratio, which is great, and it's been very strong, and it's changed quite a bit over the past few years. Can you just talk about how it's changed and also how you define it? I guess, is it using like the last quarter or the last 12 months, any clarity there?
Bob Leasure: Well, book-to-bill, in the last quarter, I think 1.16 was just the last quarter, and the quarter before that we reported as I think 1.4, which is the last quarter also, we defined it as orders divided by the revenue recognized. So, our orders are growing faster than the revenue that we are recognizing. So, right now, it has been positive when we first acquired these companies. Most of the revenue that book-to-bill, I would say, was probably flat or negative, particularly was negative and it had declining sales. Smithers Avanza was flat to negative. So, we bought companies that were used leveraged, they were turnarounds. So that is what, we didn't have a lot of momentum at the time. We're very pleased with the momentum that we've built today. And hopefully, we can continue that internal growth.
Operator: Our next question comes along of David Windley with Jefferies. Please proceed with your question.
David Windley: Thanks for taking my question. Good afternoon. Hi, Bob. I wanted to ask you a few on a variety of things. First, demand environment, can you tell if Inotiv is benefiting from lack of capacity across the industry? Is that something that you can take advantage of?
Bob Leasure: Hi, David. It's good question. We're a very small piece of a very big industry currently. So -- and we have very good momentum with our clients, and adding more service to existing clients where we add new clients. I'm sure we must be benefiting from some of the lack in capacity and an example would be the non-human primate area where inventory is short. And we about a year ago made the decision to buy ahead and buy inventory. So at some point, I know that we had capacity, we had resources that maybe others did not have. So, I believe, we probably picked up some benefit in certain areas. But I think that as overall, we're a smaller piece of a big enough pie that I think there are other reasons why we're also seeing the uptick.
David Windley: Got it. Are you -- as you mentioned services, are you finding that clients are engaging you and in kind of growing bundles of services, i.e., they'll hire you for the toxs as well as the Bioanalytical? Or they'll hire you for the toxs and perhaps the pathology along with it. Are you able to cross-sell into the same contract or same mandate, multiple services at this point?
Bob Leasure: Yes, and that's been critical to our internal growth. So, as we've completed these acquisitions each time, we've picked up several 100 clients, and those clients were used to maybe buying one service from one entity. And now, as we've developed our relationship with those clients, they'll now start to look at multiple services do multiple entities. So, it's tough to us to make sure that we can provide that seamless service to them, and we're an easy place for them to work with. But we're definitely seeing increasing amount of sales from clients that came maybe from Smithers Avanza or the Seventh Wave acquisition that maybe that only looked at them for one or two services in the past.
David Windley: Got it. I know that's a good segue into my next question, which is around your rebranding. I noticed that that you referenced the acquisition still by their acquired name. Will everything fold under the Inotiv brand now? Or will Smithers or the Seventh Wave retain those identities?
Bob Leasure: Now, we have now folded everything and rebranded everything under the Inotiv name. So, invoices In Vivo are branding throughout checks everything under the Inotiv name. I think we mainly refer to those now internally as just by Gaithersburg or St. Louis, or Fort Collins, I think was just for today's call that we actually refer to them as the names that we acquired.
David Windley: Got it. That's helpful. Thanks. And then maybe lastly for me. From a capital standpoint, how do you think about you've got an opportunity to grow margins still, but how do you think about the amount of available cash you need to run the business? And then, if I apologize if you went through this, but how much capital do you have available to you through borrowing or otherwise to continue your acquisition strategy?
Bob Leasure: Well, that's a good question. Capital, I guess there are two keys of capital to me. One is human capital and the other is monetary capital. I'm guessing you're asking about monetary?
David Windley: I was thinking more monetary, yes, but I'll take either,
Bob Leasure: Okay. Let's say, the human capital is obviously critical, and we've spent a lot of time recruiting, relocating, and bringing people on-board. And that's a large expense for us in today's market. And I think we've, as long as we can continue to afford to do that, we will do that. And I think we should be able to continue to afford to do that. As far as access to capital markets, I believe that in talking to capital markets, I think we have access to the capital. I'm not concerned about it at the moment. I think we have rather aggressive plans here. And so, we've kept in touch with the capital markets, well aware of what's out there, the leverage is capable. I know where we are right now. And I think we're five or six, we're not afraid of debt. Ultimately, I think we'd like to get to three or under as far as the leverage. But depending on the cost of capital, I think that we will consider that. And then when we look at growth opportunities, really look at the cash flow from where we can grow and we have a lot of leverage on a model. So, growing internally is one opportunity and then growing externally is another. And internally, we've been able to fund a lot of our cash flow with our current lender and our cash flow. And externally, I think we have to look through additional sources of capital to do acquisitions.
David Windley: Got it. Thanks a lot. I appreciate the answers and good luck with the strategy.
Bob: Thank you, David.
Operator: [Operator Instructions] Our next question comes from line of [Tom Hambert] with [indiscernible]. Please proceed with your question.
Unidentified Analyst: Thank you. Well, Bob, but congratulations on a great job, quite a turnaround that is taking place here.
Bob Leasure: Thank you, Tom.
Unidentified Analyst: Couple of questions here on a PPP loan, you've applied for forgiveness. Is there any thought to applying for additional PPP loans?
Bob Leasure: We do not qualify for additional PPP loan at this time.
Unidentified Analyst: Okay. Okay. And as long as COVID, let me ask you a question. Plus your mine is net, net, what effect has COVID had on the Company would you say? One from a negative standpoint with the employees, and how they've handled it, and I should see negative, they've handled it very well, but there's certainly been some costs involved there, and on the other hand, the increased business that you have gotten from working on the COVID vaccine?
Bob Leasure: Well, I think I alluded to you a little bit earlier. It probably changed how we did some purchasing and what supplies and resources that we had to anticipate. Second of all, it decreased our business development travel and inner site operations that at time we were doing integrations and just introduced our new Inotiv brand name. So we had to pivot a little bit and how we introduced that to the market, and some of the plans we had to make some amendments to. We had to learn how to do a virtual auditing and a lot more virtual meetings. We had a lot of people working from home, and we became a much more virtual company, still working on that today. And then, we had our operations don't and our labs don't work on their own. So, people do have to be at the lab and at the operation, and they're proud of how our people handled that and the safety and precautions, and we've not really had any instances of people getting the COVID from being at work. I personally tried to not travel for -- and I think that lasted for about 8 to 10 weeks. And I realized it was a very tough way to run a company and do integration and do what we wanted to do. So, I would say that, I have personally been very active in traveling over the last six months, and I think it's helped in the communication. But we've had to change some of the ways we communicate, and like everybody else, and I think we're adapting and getting better daily.
Unidentified Analyst: Okay. And then, can you break down each of the five locations, showing what revenue growth you have with each one of those and profitability or expected profitability from each of those five locations?
Bob Leasure: I don't have. I can do it off the top of my head, but I got people here getting very nervous when I'm talking off the top of my head. In some way, I will try to be very general although they're all shaking their head and getting very nervous. Let's see, I believe that, West Lafayette is we are up 50% to 100% from where I started. Evansville is probably over 100%, 150% where it was four years ago in terms of this growth. Gaithersburg this last quarter, it's probably at least double what it was when we bought it. Fort Collins, when we bought last December is probably up 75% this quarter from where it was a year ago, that one is really being growing nicely and we invested heavily in that, and I think we've at least $1 million dollars a year in the last six months, to support that growth. And I believe St. Louis is probably at a run rate, probably not quite double, I'd say probably price 70%, 75%, from when we acquired it. And so, I think we've been able to bring value to each one of those. So, they're all at different stages of their growth cycle. And I don't think, I wouldn't say that any of them are tapped out of where we expect to go. I think we have opportunities and we have a lot of leverage in our in our models. So, I think you'll see last quarter that our Q4 and Q1, that almost $0.70 of our sales dollar showed up in our operating income. I don't know that somewhere between 50% to 70% is the kind of leverage we have when we can increment keep increasing sales of those existing sites. And as we do that, I think that those sites have targeted EBITDA targets, which I think that they can all achieve. So, they're making great progress. We've had to make some changes with some people and then some people. Again, we're still investing in training, but I'm really pleased with the progress that we demonstrated last quarter.
Unidentified Analyst: I think the shareholders are very pleased as well. And the Cook Bio lease that you have or they have with you. How long is it got to go, we in about to what seven-to eight-year on that?
Bob Leasure: You're talking about the lease of the West Lafayette square footage?
Unidentified Analyst: Yes.
Bob Leasure: For those who are on the phone during the week, we raised to half of our building here in West Lafayette to Cook. And I believe that lease was at 25, I believe on top of my head and somebody shaking their head yes here because I think 2025 is where that goes right now.
Beth Taylor: End of '24.
Bob Leasure: End of 24, okay. Thank you.
Unidentified Analyst: And the last question. I did not see it by understand last night on TV on Kennedy, on Fox Business. Brett Favre was on there, and there was some comments about a pharmaceutical company Prevacus, and Dr. Jacob VanLandingham. And I believe that's Dr. J, and you've had some activities with them. Can you discuss that at all?
Bob Leasure: Were you referring to probably the switch in 2014?
Unidentified Analyst: Right.
Bob Leasure: BASI wrote off, I think of $500,000 or $600,000 receivable.
Unidentified Analyst: Yes, right.
Bob Leasure: Yes, we did. In 2014 which, about 8 or 10 years ago, which you have a history of much longer than I do evidently with this company, remember, a write-off from 2014. But I've not heard or talked to publishers since about 2 o'clock this afternoon. But we do stay in touch with them. Maybe someday, maybe that'll come to life, but it's nothing we're counting on and have counted on. That's just a dream.
Unidentified Analyst: Yes, it just as you did, they recently are acquired by Odyssey Group, which is a publicly traded company. And I just was curious as to if there's any hope I'm collecting on that number one. And number two, I believe you still have the data on that and for those on the call that are familiar with it. It has to do with a concussion issues with the NFL and particular. And whether there's an opportunity to get that money and give them the data and do additional work with them.
Bob Leasure: Tom, I think, I know what you're referring to and I had the same curious thought.
Unidentified Analyst: Okay. Well, maybe we can address it in the next call.
Operator: And our final question comes to line of Lenny Dunn with Mutual Trust Company. Please proceed with your question.
Lenny Dunn: First, congratulations on moving slightly into the black. In spite of all the expansion, I know, the focus has been on building the infrastructure up. And it would appear to me that the back of the envelope that had $100 million run rate, you can be highly profitable, because a lot of the additional salaries, you've taken on other expenses work very well at a run rate. Is it realistic to expect us to reach that run rate sometime in the next three or four quarters?
Bob Leasure: Well, I don't think I can give that kind of go forward data Lenny on when we'll reach that kind of run rate. But I think you bring up a very good point that our unallocated corporate G&A is about 12% to 14% of our overall sales dollar. And if we were able to see a 50% increase in our revenue with the powerful entities. There is 30% EBITDA range. We're able to keep that G&A flat, I think what you're referring to the unallocated corporate G&A, it would come down to the 6%, 7%, 8% range. And that would be a huge milestone and moving us towards the 14% to 15% EBITDA range, a lot closer to the 19 to 20, which I would refer to as best-in-class. So, I think you point out, where there's opportunity and where there's leverage opportunity, but I don't think I'm in position where I should be giving comments when I think we'll reach that point.
Lenny Dunn: I wasn't asking you to give me a definitive answer, but whether I'm being realistic with my back of the envelope calculation?
Bob Leasure: I think you back the envelope calculation has some merit of something that would give a move towards 15%, not to best-in-class 19% or 20%. So, if that's what your question is.
Lenny Dunn: Okay. Well, thank you. It's kind of my question. I appreciate the hard work you put in and everyone has put in. And it looks like we're certainly heading into the right way.
Bob Leasure: Thanks Lenny.
Operator: With that, we've reached the end of our question-and-answer session. And now, I would like to turn the call back over to Bob Leasure for any closing remarks.
Bob Leasure: All right. Thank you for participating in our call this afternoon. If you have any questions, please reach out to our Investor Relations firm the Equity Group. If you're interested in scheduling a follow up call, please let them know. And we'll look forward to reporting back to you in May. Thank you very much.
Operator: This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.